Operator: Good day, and welcome to the Rimini Street Q1, 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation there will be a question and answer session. Instruction will be given at that time. As a reminder, this call has been recorded. I would like to turn the call over to Dean Pohl, Vice President of Investor Relations. You may begin.
Dean Pohl: Thank you, operator. I would like to welcome everyone to Rimini Street first quarter 2023 earnings conference call. On the call with me today is Seth Ravin, our CEO and President; and Michael Perica, our CFO. Today, we issued our earnings press release for the fourth quarter ended March 31, 2023, a copy of which can be found on our website under Investor Relations. A reconciliation of GAAP to non-GAAP financial measures has been provided in this table following the financial statements in the press release. An explanation of these measures and why we believe they are meaningful is also included in the press release under the heading about non-GAAP financial measures and certain key metrics. As a reminder, today’s discussion will include forward-looking statements that reflect our current outlook. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from statements made today. We encourage you to review our most recent SEC filings, including our Form 10-K filed today, for a discussion of risks that may affect our future results or stock price. Now before taking questions, we will begin with prepared remarks. With that, I would like to turn the call over to Seth.
Seth Ravin: Thank you, Dean, and thank you everyone for joining us today. Before we review the quarter results, I wanted to remind everyone that Rimini Street has grown and evolved from a single service company into a global provider of end-to-end enterprise software support products and services, the leading third-party support provider for Oracle and SAP software and its Salesforce and AWS partner in SaaS and cloud markets respectively. The company has operations globally in 22 countries and now offers a comprehensive portfolio of unified solutions to run, manage, support, customize, configure, connect, protect, monitor, and optimize enterprise application, database, and technology software, and enables clients to achieve better business outcomes, significantly reduce costs and reallocate resources for innovation. To date, over 5,100 Fortune 500, Fortune Global 100 mid market, public sector and other organizations from a broad range of industries have relied on Rimini Street as their trusted enterprise software solutions provider and we believe we have delivered over $7 billion of savings and reinvestment opportunity to our clients. Operating results. For the first quarter of 2023, we were pleased to complete both the launch of our expanded solutions portfolio and sell the portfolio to name brand organizations globally. This expanded portfolio will allow us to meet the needs of a significantly larger market of organizations with $2 million or more in annual revenue or budget. One of the new premier solutions launched in the first quarter was our end-to-end turnkey outsourcing offering Rimini ONE, which provides organizations a one vendor solution for their current and evolving enterprise software needs and leverages Rimini Street's unique and industry leading value, reliability, responsiveness, technology and engineering capability. We've already signed in our servicing more than 100 Rimini ONE clients, and believe our significantly expanded solutions portfolio will increase sales to new and existing clients, improve our revenue retention rate and deliver a higher client lifetime value. Clients are already enjoying the benefits of Rimini Street's expanded solution offerings. For example, Stefan Vargheese, an engineering manager at MYOB, the number one provider of ERP Soft where in Australia and a new Rimini ONE client said that Rimini ONE enables them to seamlessly manage a whole critical platform without having to deal with multiple vendors and raise numerous tickets. He said this allows the MYOB development team to focus on delivering more strategic outcomes for MYOB as they continue the evolution of their business management platform for local Australian and New Zealand businesses. Vargheese goes on to further note that switching to Rimini ONE has opened up more opportunity for his organization and empowered his team to work more efficiently and more flexibly, as well as save costs. He says, Rimini ONE provides a truly one of a kind solution that's a must for modern day organizations. Demand environment. We see strong demand for a proven, reliable IT services partner that can allow organizations to consolidate their IT service providers for streamlined vendor management, increased aggregated purchasing power and better outcomes. In further confirmation that Rimini Street has developed to brought the right portfolio solutions to market, a sponsored survey available on our website, found that a substantial number of IT leaders feel pressure from their board to show increased return on IT spend. Even more telling, a majority of the IT leaders survey seek to reduce the total cost of ownership for existing mature enterprise software by switching to third-party support programs. With almost half of participants looking to outsource support and maintenance services to free up their IT teams to work on more strategic innovation focused projects. This is in alignment with Rimini Street's vision and strategy for its expanded portfolio of solutions. Organizations today need to figure out how to deliver both revenue growth and increased profitability. And now as an end-to-end provider of unique and critical IT support, products and services, Rimini Street has the broader portfolio of solutions needed to be recognized as a key IT service partner that can help clients achieve their goals from developing IT strategy and roadmaps to plan execution. As the market becomes more aware of our expanded portfolio of solutions, we are seeing increased lead in sales activity and growing pipelines into the current quarter of 2023 and beyond. We believe that Rimini Street is well-positioned to meet the current and evolving needs of organizations that face heightened global competition in just about every industry and must navigate the complex macro environment over the coming years. Our clients agree. GE Lighting, a Savant Company, is a market leader in residential lighting and smart home products. They selected the new Rimini Watch for change management solution replacing SAP's change management solution after determining a need for more flexibility in value. By switching to the new Rimini Watch solution, GE Lighting has experienced increased efficiency and a significant reduction in friction for its internal clients. Sanjay Sethia, Senior Manager of Enterprise Applications at GE Lighting, noted that day-to-day, they could focus more on their strategic direction and getting deeper into analysis rather than spend time on operational issues. They refer operational issues to their Ramini Street partner, who he says is responsive, comes with the right analysis, and guide them through each step of the way. In the past year, they have moved more than 350 system changes across five different landscapes without incident. Sethia said, he sees a big advantage for the company and his team, having Rimini Street as a proven and trusted IT partner. Sales execution. During the quarter, we continued focusing on sales across the expanded portfolio of solutions and working to assure the full portfolio is available of all current and prospective clients globally. We launched our next generation revenue enablement strategy, program and team, and implemented many operational changes we believe will increase sales leads, opportunities, pipeline, and deal close rates, and ultimately drive a higher revenue growth rate and increased profitability. To enhance and accelerate lead opportunity in pipeline development, and help close more large and strategic transactions. our senior executives, including myself, continued our heavy global travel and participated in a growing number of successful in person Rimini Street and third-party events and executive sales meetings with hundreds of current and prospective clients. Oracle Litigation update. Rimini Street and Oracle have been in litigation for more than 12 years. While the U. S. Courts have confirmed long ago that third-party software support is legal, we presently have two active proceedings with Oracle. The injunction compliance dispute and Rimini II proceedings, both of which relate to the manner in which Rimini Street provides support services for certain Oracle product lines. Rimini Street is not prohibited from providing support or services for any Oracle products. With respect to the injunction compliance dispute, Rimini Street filed an appeal in 2022 to the Ninth Circuit of the United States Court of Appeals relating to certain rulings of the U.S. District Court. Oral arguments on the appeal were held in San Francisco on February 6, 2023, and the matter remains pending before the court of appeals. We believe we could have a court ruling on the appeal at any time this year. With respect to Remini II. The case Rimini Street filed against Oracle in 2014 and Oracle filed counterclaims. On October 21, 2022, just days before the jury trial was set to begin, Oracle withdrew certain of its counterclaim and all of its claims against Rimini Street and against me personally as CEO for monetary relief of any kind under any legal theory in this litigation. Rimini Street's remaining claims and Oracle's remaining counter claims seeking only equitable relief were tried before the court as a bench, judge only trial that began November 29, 2022, and ended December 15, 2022. The party submitted their proposed findings of fact in conclusions of law to the District Court on February 23, 2023, and the matter remains pending before the District Court. We believe we could have a court verdict anytime this year. Please see our disclosures in the latest 10-Q filing for additional information and disclosures regarding litigation with Oracle. Summary. We remain confident that we are continuing to take the right actions and making the right investments to reaccelerate growth, increase profitability, and enhance shareholder value. Now over to you, Michael.
Michael Perica: Thank you, Seth, and thank you for joining us everyone. Financial results. We were pleased with our first quarter financial performance and revenue gross margin, adjusted EBITDA, net income and revenue retention rate on subscription revenue and exceeded first quarter 2023 guidance. Additionally, we maintained a strong balance sheet with cash in U.S. Government backed securities of $135 million and reduced debt $10 million year-over-year from $87 million to $77 million resulting in net cash at quarter end of $58 million. Revenue for the first quarter was a record $105.5 million, a year-over-year increase of 7.8%. Clients within the United States represented 50.6% of total revenue for the first quarter, while international clients contributed 49.4% of total revenue for the first quarter. Annualized recurring revenue was $408.3 million for the first quarter, a year-over-year increase of 6.1%. Revenue retention rate for service subscriptions, which makes up 97% of our revenue, was 92% for the trailing 12 months with more than 75% of subscription revenue non-cancelable for at least 12 months. Billing for the first quarter were $93 million compared to $97.7 million for the prior year first quarter, a decrease of 4.8%. Lower new client invoicing in the U.S. and prepaid multi-year invoicing year-over-year were primary basis for the decrease. Gross margin was 62.7% of revenue for the first quarter compared to 62% for the prior year first quarter. On a GAAP basis, which excludes stock-based compensation expense, gross margin was 63.1% of revenue for the first quarter compared to 62.5% for the prior year first quarter. Looking forward for full year 2023, we continue to expect gross margin to be in the range of 61% to 62% of revenue on a GAAP basis and 61.6% to 62.6% of revenue on a non-GAAP basis. Operating expenses. Like other organizations globally, we are experiencing cost pressures due in large part to increase labor cost and inflation in all labor categories and markets. As we discussed on our last earnings call, we continue to move workloads where possible to lower cost labor markets and implemented a restructuring in the first quarter to further streamline operations and help offset these increased costs. These actions allowed us to increase profitability and freed up budget to hire new skill sets needed to drive and accelerate future growth. The restructuring, excluding the one time charges, should result in approximately $15 million of annualized savings. Sales and marketing expenses as a percentage of revenue was 32.7% of revenue for the first quarter, compared to 32.4% for the prior year first quarter. On a non-GAAP basis, which excludes stock-based compensation expense, sales and marketing expenses as a percentage of revenue was 32.2% for the first quarter compared to 31.5% for the prior year first quarter. We remain focused on making the appropriate investments needed to market our expanded portfolio of solutions and capitalize on our growth opportunities and thus continue to see full year 2023 sales and marketing expenses to be in the range of 34.5% to 35.5% on a GAAP basis and 33.5% to 34.5% on a non-GAAP basis. General and administrative expenses as a percentage of revenue, excluding outside litigation costs, was 17.3% of revenue for the first quarter, compared to 20.4% of revenue for the prior year first quarter. On a non-GAAP basis, which exclude stock-based compensation expense, G&A was 16.2% of revenue for the first quarter compared to 18.6% for the prior year first quarter. We are seeing the good year-over-year improvement in spend due to the previously mentioned restructuring and now that they required initial investments to develop and launch our expanded portfolio of solutions is largely behind us. However, G&A expenses as a percentage of revenue continue to be elevated compared to our peers, due in large part to the cost for in-house legal and compliance teams and other costs made necessary by our ongoing Oracle litigation. As such, we continue to see full year 2023 G&A expenses as a percentage of revenue to be in the range of 17% to 18% on a GAAP basis and 15.5% to 16.5% percent on a non-GAAP basis. Net outside litigation expense was $2.7 million for the first quarter, compared to $3.1 million for the prior year's first quarter. For full year 2023, we continue to expect outside litigation expense to be around the $10 million level. Our non-GAAP operating margin, which excludes outside litigation spend and stock-based compensation, improved to 14.6% of revenue for the first quarter and 12.4% for the prior year first quarter. For the first quarter, net income attributable to shareholders was 5.6 million, an increase of 82.7% year-over-year, and $0.06 per diluted share compared to a net income of $3.1 million or $0.03 per diluted share for the prior year first quarter. On a non-GAAP basis, net income for the first quarter was $10.4 million or $0.12 per diluted share compared to a net income of $9.2 million or $0.10 cents per diluted share for the prior year first quarter. Adjusted EBITDA was $16.6 million for the first quarter or 15.7% of revenue compared to $12.9 million or 13.2% of revenue for the prior year first quarter. Balance sheet, we ended the first quarter with the cash balance of $116 million plus investments of $19 million consisting of short-term US treasuries and agency securities, bringing cash and short-term investments to $135 million, compared to $129 million as of December 31, 2022. On a cash flow basis, first quarter operating cash flow was $8.6 million, compared to $45.8 million for the prior year first quarter. The variance is due primarily to large payments to our outside litigation counsel relating to the fourth quarter 2022 remaining to trial with Oracle, one-time restructuring charges and lower client multi-year prepayments and related collections compared to the prior year first quarter. Deferred revenue as of March 31, 2023 was approximately $287 million compared to $300 million from the prior year first quarter. Backlog, which includes the sum of billed deferred revenue and non-cancelable future revenue, was approximately $556 million as of March 31, 2023, compared to $558 million for the prior year first quarter. Capital markets activities. During the first quarter, we amended our credit facility to transition from LIBOR base rate to secured overnight financing rate or SOFR. In addition, the amendment included an add back to consolidated EBITDA for the fourth quarter 2022 and any calculation period covered by such quarter of $10 million to offset large litigation spend relating to our fourth quarter 2022 Remini II trial with Oracle. Please see the 10Q for further details and disclosures. Business outlook. We are providing second quarter 2023 revenue guidance to be in the range of $105 million to $107 million and maintaining full year 2023 revenue guidance to be in the range of $420 million to $430 million. We are also maintaining our full year 2023 HLCD-BD guidance in the range of $52 million to $58 million. We plan to revisit full year 2023 guidance with our second quarter earnings release. This concludes our prepared remarks. Operator, we'll now take questions.
Operator: Our first question comes from Brian Kinstlinger with Alliance Global Partners. Your line is open.
Brian Kinstlinger: Great, thanks so much for taking my question and nice quarters particularly on driving address to driving adjusted EBITDA. You described the demand environment as one where there's opportunity for strong and proven IT partners. With that said, US growth was about 2%. So sorry to focus on the piece of the business that's not doing as well. And I assume that's not impacted by FX. So we've been in around $53 million for a handful of quarters. I know you restructured this business. Maybe from a strategy perspective, what needs to be accomplished? And then from an economy perspective is there any dependence in order for you to start to see an increase in demand there?
Seth Ravin: Thanks, Brian. Seth here. So, you know, from my perspective, we've made a lot of changes. When I took back over the sales operations globally mid last year, and we said it would take a few quarters to start to see the results flow through, I'm actually very pleased. We started Q2, for example, with a 20% higher pipeline than we did a year ago. So, it's taking a while to flow through, but the quality of the deals is excellent. The market demand is excellent. We've put better sellers in the field. We've made some changes. We're doing some things that I think are going to significantly increase our revenue opportunities for America. And as you noted America only grew at 2% in the quarter year-over-year while the international was 14% and I can tell you that as a company we are focused maniacally right now on the US. If we get the U.S. up in percentage performance when it's 50% of the revenue, as you can do the math, we're going to see significant improvement in revenue performance, and we're going to see it in the overall growth rate. So it's all about America. We're selling great deals all over the world. America's selling great deals, they're just not selling enough of them.
Brian Kinstlinger: And just a follow-up on that before I ask my second question, do you expect that acceleration and demand will happen in this calendar year or do you think it'll be more likely in early 2024 where it's visible on the income statement?
Seth Ravin: Well, I think separating out demand from our execution, the demand, I believe, is huge. I think we have as big a demand in the United States as we do everywhere else around the world, and the difference in performance is execution. Again, it's all on us. As we get all these products into market, and it's taken a little bit longer than we may have expected, but we have such a great portfolio of what customers want to buy, and they're buying the full portfolio, which is great. But getting all the sellers, getting the machine to be able to move and sell all of these great new things, it takes some time. And I think we're seeing week over week improvements, people being able to talk the story better, they're able to talk about the full portfolio. The hard challenge in America is getting in front of senior executives. They have the need, we have the solutions, but it is really hard in America since the pandemic to get to the executives to actually have the conversation. And once we have that conversation, we're usually off and running on being able to present solutions that often lead to a win. So for us, we have been very pinpointed on figuring out where the performance challenge is. And it is getting to the executives in America to have the right conversation. And that's what we're focused on fixing right now.
Brian Kinstlinger: Great. My follow-up and I appreciate that. You said you have roughly 100 clients on Rimini ONE that have an – and I'm sorry, let me rephrase that. I heard that poorly. In terms of Rimini One, you said you have about 100 clients. Can you provide roughly what we should expect long-term, the average revenue per customer might be, or short-term or the long-term? And then second, you described it as a turnkey outsource solution that you're providing. I think it'd be helpful to understand what is it that companies are outsourcing to you. Is it application management? And if not, what are the functions that are being outsourced to Rimini?
Seth Ravin: Sure. Question number one, as you know, our average sales price on a support deal, just the average sale is about $200,000 that goes up and down a little bit depending on the quarter. We don't have numbers that we're ready publish on AMS or Rimini ONE. Again, even with 100 data points, there's a lot of variability. And so there's not a number in there yet that we can really put out and feel comfortable about that you could model. That I think will come as we get more and more customers on it, we get more experience and understanding what kind of product what kind of customers, what kind of pricing. It is pretty variable. What they're actually outsourcing to us is the running of the system day-to-day. So we take over from the team. We run the ERP system. We provide the support, which of course is our core bread and butter that we've done forever. And then we provide security assistance and products. We provide interoperability when things need to connect to other systems. All those become our responsibility. And what we're trying to do is address the issue. And the issue is that all this back end ERP systems are becoming utility. And we will run that utility. We will make sure it runs better than anybody else. We'll make sure that they get better results out of that system and we will lower the cost on managing that system end-to-end. And that allows people to take some of that money and savings and resources and use them in innovation and take some of the savings and drop it to the bottom line to improve profitability. And that's a solution our customers are really enjoying is both increasing profitability and we're providing money for innovation projects to -- for growth and competitive advantage.
Brian Kinstlinger : Great. Thanks so much, sir.
Seth Ravin :
Operator: Sure. Thank you. Our next question comes from Derrick Wood with Cowen. Your line is open.
Andrew Sherman : Great. Thanks guys. It's Andrew on for Derrick. Congrats on the strong quarter. Seth, we'd love to hear some more color on how sales cycles and decision making played out in the quarter? Did you see any impact from macro and specifically the banking crisis in the U.S.? Did you see any deals slip? Any color would be helpful there?
Seth Ravin : Sure. And the great news is, again there's always two sides to a coin. Economic uncertainty and challenge is a good thing in our pipeline and our business. It's not something that distracts or pushes deals out. We're the kind of people that come in good times and we're really sought after when people are in trouble and they need to adjust their cost base. They need to adjust their staffing model. or situations where they just can't staff their systems and they need professionals that have the engineering capability step in and take over either running the system, supporting the system, securing them, all of that we have the capability of doing. And so I think for us, no, we didn't see decision making issues in the quarter. Any delays that we had in terms of deals? Last quarter, we had a lot of slip deals, I don't think we had a lot of slip deals from Q1. It probably amounted to $4 million or $5 million that we thought could come in the Q1 that slipped into the next quarter or future quarters. But those happened because management wasn't able to get through their cycles or they had too many other projects that they were juggling. But the economics are actually very favorable for us globally. That's why you saw good strong performance on a global basis. America is simply a sales execution issue. That demand is there and we just haven't been able to take enough of it off the table yet. And that's what we got to work on.
Andrew Sherman : Yes, great. And then Michael, you did BQ1 revenues by $3 million, but you're keeping the full year guide. I know the comment says you'll revisit it, but is not raising it now just an extra layer of conservatism or is there something else to think about in the back half? 
Michael Perica : Andrew, I think you summed it up precisely than an extra layer of conservatism we did note. We're going to revisit in mid year, but certainly feeling in a comfortable position up and down the P&L for our guidance at this time.
Andrew Sherman : Okay. And one more few quick one, Michael. Customer count, I didn't see anywhere I may have missed it, but is that disclosed or not?
Michael Perica : It's actually in our Form 10-Q, but we were over 3,000 in aggregate clients in over 1,500 from unique clients, but you have the exact date in our Q.
Andrew Sherman : Okay, great. Thanks guys.
Michael Perica : Thank you.
Seth Ravin : Thanks Andy.
Operator: Thank you. Our next question comes from Jeff Van Rhee with Craig-Hallum. Your line is open.
Jeff Van Rhee : Great. Thanks for taking my questions. Obviously, top line in EBITDA, real nice performance looks pretty conservative going forward. My focus would be on sales and billings here. Seth, the pipe was up, I guess you said 20% year-over-year this quarter. What would that number have been last quarter if you gave it year over year?
Seth Ravin: I don't think we actually published the numbers for the pipeline. So just as a percentage, 20% year-over-year growth.
Jeff Van Rhee : Sorry, I didn't freeze that well. You were saying it grew 20% year-over-year this quarter compared to the year earlier quarter. I'm asking 90 days ago when you compared the year-over-year growth in the pipe, what would that number be? I guess I didn't phrase that well.
Seth Ravin: Well, we actually -- yes, we actually didn't see too much pipeline growth in the last few quarters. That's why I'm pointing it out is that I think all the work that we've been doing in the last six months is starting to work its way through the snake, as we say. Starting with the lead volumes being up, which is translating and working its way through the growing pipeline. And when we say pipeline is up, we also account that as a minimum 10% likelihood of close. So it's also a little more qualified in terms of what we expect. So again, I think those are good healthy numbers that we're starting to see. I think that the marketing is much more effective than what we had in the prior year leading up. I think that we're making a lot of changes and putting a lot of things in place that are really getting more traction. But as I mentioned, we're still just not getting in front of enough executives to make our pitch in North America. And that's really where the focus is.
Jeff Van Rhee : You mentioned the duration issue and obviously if you take a look at the shorter-term deferred. It's maybe a little bit better picture on the billing side, but that said the billings rolled over from being slightly positive last quarter to slightly negative this quarter. When you think about 2023, I want to press you a bit to say, I guess, what would be failure, what would be disappointing to you terms of billings growth, whether it's a target of growth, great maybe by Q4 or growth in billings of the year, just how do you mentally set a benchmark that if we don't get to X, I will consider it failure.
Seth Ravin: Well, I think you have to look at the North American revenue growth rate of 2%, I don't think anybody should be satisfied with that. We're certainly not. And I think when you look at 14% on the international, that's a decent number. One we're going to again try to go, as you well know, I'm very, very bullish and focused on driving north of 20% growth in the company. So I think international is on its way. In fact, I think Asia was probably even more than that and probably moderated a little bit by EMEA. But I think that overall, we're very focused on bottom line. I think you saw that in the adjusted EBITDA, we are determined to be a very profitable company, even though we're going to have moderate growth as we've been forecasting and guiding to. Moderate growth that we're going to attempt to accelerate year-over-year, quarter-over-quarter, we are going to be focused on that bottom line. And the adjusted EBITDA numbers, the fact that we started providing guidance for that shows that we are extremely focused on bottom line performance as well.
Jeff Van Rhee : Okay. And from a sales standpoint, I guess just circling back to the process, it sounds like I guess two questions there. One, the belief wasn't really difficult macro environment and I think you can see a lot of entities under a lot of pressure that you would see accelerating tailwinds. And you've referenced it, but are you in fact seeing that? It sounds like that maybe is maybe showing up in the top of the funnel, but not showing up in close rates yet? 
Seth Ravin: I would say that's fairly accurate. We're absolutely seeing it at the top of the funnel and I think that's number one, obviously, our better performance as a sales organization, as a marketing organization, the machine performing better, getting more traction globally and we have to increase that in the U.S. But the messages are resonating. I think it's a fantastic market for us. And I think again, the issue of us not being able to get it off the table and close that business, bring it into the pipe is very much related to the number of executives that we can get in front of. And if we solve that issue, we see huge traction when we get in front of CIOs and CFO and walk them through our whole expanded portfolio of services and capabilities, that goes very, very well and often turns into next steps in the sales cycle. And I believe that will grow the pipeline significantly. So it really is that one problem. If we can get in front of more executives, get their attention for a few minutes to present what we're doing, I think we will grow sales significantly.
Jeff Van Rhee : Okay, I'll leave it there. Thank you.
Operator: Thank you. We have a follow-up question from Brian Kinstlinger with Alliance Global Partners. Your line is open.
Brian Kinstlinger: Great. Thanks. I started with the challenging markets, and I want to touch on the market that you're doing a lot stronger in. If we look at the last few third quarters, which is a driver for international bookings, you've had some challenges. Two years ago, I'm not saying you don't know, the sales team was a little too new, and then last third quarter, the market was a little bit in chaos, and so some companies weren't prepared to make decisions because there was so much chaos. So we're two months away from the beginning of this third quarter, which is very important to drive growth for next year. As you said, companies are under pressure. Your sales team is more experienced. Is there any reason to believe, is there anything I'm not thinking about in terms of headwinds? I get the sense you think this will be a super third quarter in terms of bookings that will position you for accelerated growth, which you kind of touched on for international briefly, but I just want to make sure I'm thinking about it the right way.
Seth Ravin: I think this third quarter is very different than last third quarter because we were in turmoil economically at last third quarter while companies were having to refigure out new budgets, changing plans. When they came to the realization that the economic situation was not going to be just a few months that it was likely to last two to three years. Obviously, we got an interest rate increase again today from the US Fed. That'll continue to put more pressure on companies. All of that does not interfere with our ability to get deals done. All of it creates more opportunity for us because we have the solutions to help companies reallocate those IT spends. We can bring down that cost, we can improve profitability, and we can drive growth with moving money into innovation as well as with the staff. So I think we are extremely well positioned and it's on us to get the execution where it needs to be to take advantage of I think the best market opportunity the company has ever seen. We've never had more products, more solutions to more business issues than we have today and it's our job to get it out there, to get in front of these executives, present our wares, present our solutions to their problems and get these transactions moving and get them done. So I think it's a very different environment and I think we are well positioned for that and now we need to execute.
Brian Kinstlinger: Great, thanks for taking my call.
Operator: Thank you. There are no further questions. I'd like to turn the call back over to Seth Raven Seth Ravin for closing remarks.
Seth Ravin: Well, thank you very much, everyone. Thanks for joining us today. Once again, we always are very thankful for the world that we get to live in, and we know that there's a lot of people under pressure, living in war-torn areas, who are struggling, and we always like to keep our thoughts on them as well. So be safe, have a great day, and we look forward to a next call and giving you the results for this second quarter at that time. Thank you everybody for joining us.
Operator: Thank you. This concludes the program. You may now disconnect. Everyone have a great day.